Pierre Anjolras: Good morning, everyone. I'd like to thank you for being part of this meeting to present the accounts for VINCI. It will be my first time commenting the financial results as the new Director General of the group, which is a position that I have since the 1st of May. It's an honor and indeed a pleasure for me to be here today. As you will have heard and as you will continue to read, as in previous financial years, our financial results are once again of excellent quality. I am here with Christian Labeyrie, our Deputy Director, General and Financial Director, the other members of ExCom and our Investor Relations teams. We will make ourselves available to answer any questions you may have. First of all, let's talk about Australia. In April, Cobra wrapped up the funding for the very first PPP for electrical distribution in Australia. It's a 35-year contract and it involves design, financing, building and maintenance of more than 240 kilometers of electrical lines, 8 substations and their connections to renewable energy production sites. Works have broken ground and will last for 5 years. Seeing as we have this picture on the board, I'd like to remind you that Cobra has already finished a number of PPPs of this type in Brazil. And especially, investments are required around the world in a way that will facilitate a transition towards green energy. The need is enormous. And the recent blackouts and brownouts that we've seen in a number of European countries further demonstrate just how important and vital these investments are and indeed urgent. These projects are a strong and sustainable driver for VINCI's business lines. Next up, we have some pictures illustrating our position as world leaders in infrastructure, first of all, through concessions. On the left, this comes from VINCI Autoroute. This is the A55 -- A57, sorry, motorway extension in Toulon that was opened in June. It's a large project, EUR 300 million entirely financed by VINCI Autoroute. Traffic conditions and travel times have improved spectacularly since the extension opening and it was quite a complex urban environment to work in that shows the new way we have of seeing motorways. The motorway was completely changed. We now have special public transport lanes that allow intermodal travel between rail and road. This is a shared technical success that could very easily be replicated elsewhere and was made possible through strong collaboration with all involved stakeholders. Also, our highly skilled project management teams at VINCI Autoroute and of course, the concession contract model, which is showing itself to be an effective partner-based funding model, which serves local authorities and the state for these types of projects. On the right, you can see a photo of Lisbon Airport. I'd like to remind you that it had 15 million passengers per annum in 2012. Following VINCI's investment in ANA, the Portuguese airport operator, we are at 35 million in 2024. This incredible growth that we contributed to led to a large investment project for the existing airport Humberto Delgado to improve UX and to improve operations and its carbon footprint. VINCI Construction is, in fact, part of the consortium of builders involved in this EUR 200 million project. And this growth has also led the Portuguese government to decide to commit in line with the concession contract to prestudies to open a new airport in Lisbon in Alcochete. The Portuguese government has approved the MOU on the 17th of January. Consultation with stakeholders was done in 2025 and a summary was sent by the ANA to the government on the 17th of July. The next steps will follow in the coming months and years. These images serve to illustrate the know-how that we have at VINCI. We can change, we can transform, we can adapt mobility infrastructure to meet the strong structural mobility demand that we're seeing around the world. This serves to develop mobility that is less carbon intense, more fluid, more shared and more sustainable. All of this is made possible when we are able to use a stable regulatory framework that is balanced across parties. Now a couple of pictures showing Energy Solutions. On the left, you can see the very first regasification LNG plant in Germany. This was given to a consortium piloted by Cobra. This terminal would enable Germany to import natural LNG through ocean routes and this is great for Germans' energy strategy and sovereignty. On the right, you can see a German company called SAM Electronics, mainly working for the German Navy in shipbuilding sites. This acquisition will enable VINCI to strengthen its exposure to the defense market in line with the acquisition of RH Marine in the Netherlands last year. This acquisition would enable us to strengthen our position also in the German market as a whole. You will have noted that VINCI Energy in July announced 2 further significant acquisitions in Germany in multi-technical building solutions. These 2 images illustrate our exposure to Germany, which is our second largest market outside of France and also shows our exposure to green energy transitions, sovereignty, military and energy sovereignty all-around the world and especially in Europe. As for construction, you can see on the left an image from VINCI Construction in the U.K. In March, they were awarded a renewal for the road service maintenance contract in Hertfordshire in the north of London. The first contract dates back to 2012. It lasted 13 years. We are committed to maintaining 5,000 kilometers of roads up until 2039, maybe up to 2046, so a further 20 years. This involves maintenance, proximity services, so day-to-day services such as cleaning the hard shoulders that make sure that the roads don't flood when there's rain, which happens a lot in the U.K. but also in France with climate change. This is recurring business that lengthens the lifespan of this infrastructure. This is kind of for us what an industrial company might have for aftersales and spare parts. We also are working in the West of Canada between Calgary and the Rocky Mountains. Following severe flooding in 2013 and given the increasing frequency of flooding with climate change, the province of Alberta decided to build a first dike. This is Springbank that you can see on the slide. VINCI Construction's teams are currently delivering it after 3 years of work. This will protect Calgary from future flooding. This is an excellent illustration of the fact that adapting to climate change is going to generate a lot of business opportunities for construction and also for transformation of infrastructure around the world. So after that appetizer, let's get into the meat and potatoes in our financial results. So some key highlights for the first half. First of all, excellent performance across the board for VINCI. We've seen performance that is in line with previous financial reporting and excellent financial reporting despite a macroeconomic and geopolitical environment that can be described as volatile and uncertain. Some takeaways are growth in revenue driven by concessions and energy services. Also increase in EBITDA and operating profit across all of our business lines and that improvement is marked in values and margins. And that's what's important to us. It's not growing in volume. It's growing in a profitable way. Net profit was, of course, impacted by the significant uptick in the tax burden in France this year but it's still quite a small contraction. FCF is positive, which is not necessarily a given in the first half of the year, given the well-known seasonal nature of our business and especially of FCF. Our pipeline is also once again up, driven by order intake in our flow businesses. Following this very strong first half of the year, we can confirm our outlook for 2025. The Board of Directors has decided to maintain the prepayment of the dividend at EUR 1.05 per share. Here, you can see some of the main indicators of our financial performance. Christian will be coming back in more detail in a few minutes. But if there were a few takeaways, the first would be that like-for-like from a tax perspective, we would be at EUR 2.2 billion of net profit, a 10% increase. We confirm this every year and this first half is going to show it again. Together, we are resilient. And we are resilient and I firmly believe this because we have a good business model that creates value in infrastructures through 3 major business lines: concessions, energy services and construction. And we also have the right model. This is our multi-local model with a very decentralized organization that enables more than 4,200 companies, each having strong local presence to adapt quickly to changes in the market and to seize opportunities as they arise. This slide is on our geographical footprint and there are 2 things to mention here. First of all, VINCI is an international group present across more than 120 countries but our 5 largest countries, France, U.K., Germany, Spain and the U.S. together account for 70% of our overall revenue this half. The second takeaway is that growth in revenue for the group was driven by our international companies, more than 5%, with revenue in France remaining stable. That means that the weight of international business in our overall mix is up again, 57% of the total this half, fully in line with our internationalization policy that was deployed consistently and has been for the last 20 years. Let's get into each business line now starting with Concessions. As you can see, revenue is up 8% in Concessions, 6% like-for-like. This growth is being driven by strong traffic numbers in airports of our network and also on motorways in France and internationally. The EBITDA margin is 67.3%, up more than 10 bps versus the first half of 2024. And that means that our teams under Nicolas Notebaert are doing remarkable work in monitoring and improving their operating expenses, acquiring what they need to acquire and managing the increase in traffic volumes. Concessions accounted for 63% of EBITDA for the group this half. What I can tell you about VINCI Autoroute is that VINCI Autoroutes' traffic was up 2% versus the first half of 2024. However, I would like to remind you that the base effect was in our favor with some farmers protests that blocked traffic in the first part of last year. EBITDA at VINCI Autoroute is up whilst still being weighed down by about EUR 120 million in motorway tax. This is a tax that we are continuing to fight in the courts and I want you to be -- remain certain that we are continuing to make sure that our voice is heard on this matter. For VINCI Highways, or international motorways, integration of the Northwest Parkway in Denver and Colorado has now been rolled out much earlier than expected. It's a variable toll system with differentiated tolls depending on when you're traveling. And this half in Brazil, in March, as was expected and without particular issues, we took over the BR-040 motorway, about 600 kilometers long between Belo Horizonte and Brasilia. Turning to VINCI Airports. The dynamic is still very strong. Traffic at VINCI Airports has continued to grow in almost all of our 14 countries in our network and t's even ramped up in the second quarter. This is due to an increase in capacity for low-cost air carriers and also strong demand from clients. Overall, more than 159 million passengers in the first half were hosted in the 72 airports managed by VINCI Airports. That is a 6% uptick versus last year. Per country, we can underline double-digit growth in Japan, in Mexico and in Budapest. And we've seen remarkable increases in traffic numbers in Portugal and Edinburgh in large part driven by long-haul flights. Edinburgh and Budapest are our more recent acquisitions and they show the high quality of our analysis and the kind of dynamics that we can create. Traffic numbers, dynamics within VINCI Airports can also be explained by the opening of new lines. We have a unique network around in the world, 72 airports across 14 countries, which means that we can implement a proactive policy with the airline carriers. We can give them ideas, suggest new lines and our airport portfolio can also leverage a ratio and scale effect, which creates value. In this first half, we saw more than 190 new lines open across VINCI Airports. Let me give you a couple to maybe inspire your upcoming holiday, Budapest-Vienna, Madeira-Edinburgh, Edinburgh-Boston, Belgrade-Shanghai, Porto-Montreal or even Los Angeles to Monterrey in Mexico. Next up, Energy Solutions. And they are also doing very well and taking flight. We are at EUR 13.7 billion in revenue, a 6% increase like-for-like -- sorry, 4% like-for-like and 6% real value with a ramp-up in growth in the second quarter. This is being driven by our international growth, accounting for more than 70% of overall revenue for the business line. This growth is also parallel to increases in operating margins, 20 basis points, up to 7.4%. We are clearly amongst the top performers in this regard worldwide. And I take my hat off to the VINCI Energy and the Cobra IS teams. Energy Solutions are about 1/4 of our operating profit. This half serves to confirm the proper positioning of Energy Solutions driven by the energy transition, the digital transition and also sovereignty and defense. To illustrate these numbers here, you can see that the 4 VINCI Energy business lines accounting for an amazing range of SKUs are all up in revenue. Internationally, more than 60% of overall revenue for VINCI Energy, up 7.5% like-for-like and -- sorry, 2.5% like-for-like and 6% real. This is remarkable, especially in Germany. Germany is the largest market for VINCI Energy outside of France. We also have our second largest platform with Switzerland, the U.S. with -- and Morocco, with the French growth being a little bit more modest at plus 1.8% like-for-like. For Cobra IS, flow business accounting for about 60% of overall revenue for Cobra IS is still on track, in large part for the major countries such as Spain, Portugal and Brazil. And 4 major projects accounting for 40% of the total, strong increases in business are explained by a ramp-up of Germany with building of offshore conversion platforms for the North Sea and the regasification terminal that I mentioned in the introduction. On top of that, for major projects, we have high-voltage transmission lines in Brazil and the PPP in Australia. In the construction business, revenue experienced a slight decline. As you know, in our business, our guiding principle is selectivity. And this decline in revenue is a clear evidence that this selective approach is being actively applied. Despite the lower revenue, our teams have managed to improve profitability by 14 basis points from one half to the next. And here too, excellent work by our teams. For VINCI Construction, the decline in revenue reflects varying market conditions depending on the country and on the business segment. First, revenue from major projects is down due to the phasing of project execution such as the completion of the Springbank jobsite, which is not immediately offset by the arrival of new jobsites. Over and beyond major projects, in France, strong activity in roadworks and rail and hydraulics networks only partially offsets the decline in civil engineering and building construction. Outside France, in Continental Europe, conditions vary by country with stable performance in Germany and growth in the Czech Republic and Slovakia. Outside Europe, activity is increasing in Africa but is declining in other regions. And lastly, specialized civil engineering networks are once again showing growth in business. I'd like to use this slide to remind you that, as you can see in the top right-hand corner, the bulk of VINCI Construction's revenue comes from small-scale projects. So repeat business. what we call our flow or recurring business. And the share of major projects in our business is deliberately limited, about 11% of revenue this semester. In the French property development sector, which is always a very challenging market, residential bookings by VINCI Immobilier are down this half year, mainly due to a sharp drop in individual investor demand, particularly with the end of the Pinel tax incentive, while block sales are rising. And an important aspect, sales to owner occupiers, particularly first-time buyers are picking up. Commercial real estate remains very low as investors continue to adopt a wait-and-see approach. It's important to spend a little bit of time on order intake. This semester, order intake reached a high level, nearly EUR 32 billion. Some will point out that this represents a EUR 2 billion decrease compared to H1 2024. And as mentioned previously -- in previous communications, this decline is mainly due to a high comparison base, including 2 major orders totaling EUR 2.5 billion booked by Cobra IS in early 2024 for offshore electricity conversion platforms in Germany. So what's my takeaway? Order intake in flow business, which I'd like to remind you represents the vast majority of the group's revenue in energy solutions & construction. Now that remains strong and is up 2%. Another takeaway, order intake this half year remains well above revenue for the period. And this is true both for energy services and VINCI Construction. And this means that the order book continues to grow. Let me use a simple metaphor. It's like a bathtub. The bathtub keeps filling up. So it's filling more slowly than the last year and this is due to slower economic growth and easing inflation but the bathtub is still filling. Now I'd like to hand over to Christian. He will present the group's detailed financial results for the first half of the year. Christian, over to you.
Christian Labeyrie: Let's start with revenue. First half revenue reached nearly EUR 35 billion, representing an increase of just over 3%. This is a strong performance given the current macroeconomic and geopolitical climate and reflects the strength of our model, which is based on 3 complementary businesses and a geographic footprint that is now highly diversified. And as Pierre rightly said, this growth is driven by revenue increases in Concessions, so plus 8%, in Energy Solutions, plus 6%. And this increase is particularly strong for VINCI Airports, up 11%. And this reflects, on the one hand, sustained organic growth of 8%. This is driven by very dynamic traffic across nearly all our airports in the network. And on the other hand, the consolidation of Edinburgh Airport since the second half of last year. In Energy Solutions, VINCI Energies posted growth of over 5%. That should be noted with an acceleration in Q2 and strong activity across many international markets. And this also benefited from the positive impact of acquisitions completed last year, particularly -- for now in Germany and RH Marine in the Netherlands. Still within Energy Solutions, Cobra also delivered a solid performance with revenue up 9% and an acceleration in growth in Q2. In Construction, revenue posted a limited decline, minus 1% and nearly 3% organically, thanks to the consolidation of our new U.K.- based FN Conway subsidiary in the London region. This company works in urban and road infrastructure and it has been included in our accounts since last February. Performance across VINCI Construction divisions was mixed. This growth in Central Europe and in road and rail works in France. We're seeing stability in Soletanche Freyssinet, so specialized businesses. There's a decline in the Americas and Oceania region, which is impacted by currency effects and also lower revenue in major projects in France and abroad. And this is due to project phasing. Some projects are nearing completion, while others are just starting and one does not necessarily offset the other. In property development in France, VINCI Immobilier's residential activity, as Pierre rightly said, has been hampered by the end of the Pinel tax incentive last year, while office real estate remains affected by investor hesitation. Now Scope effects contributed approximately EUR 800 million in revenue this semester, adding 2.5% additional growth on top of 1.2% organic growth. So around EUR 400 million for VINCI Construction, including EUR 300 million from FM Conway and the remainder comes from recent acquisitions in North America. Hub Foundation in Newport in the Boston area. So close to EUR 300 million for VINCI Energies, so mostly from international operations -- international acquisitions. I'd like to remind you that last year, VINCI Energies bought 34 companies. And now VINCI Energies has already acquired 16 more in the first half of 2025. Finally, nearly EUR 200 million from VINCI Concessions corresponding to the Edinburgh airport's revenue over the semester. It is also worth noting that exchange rate fluctuations had a negative impact on revenue, minus 0.5% this semester. The euro appreciated against most dollars, the U.S. dollar, Canadian dollar, the Australian dollar, New Zealand dollar and also several un-American currencies. Now VINCI's growth in revenue is virtuous. It goes hand-in-hand with improved operating performance across our 3 core businesses, what we call ROPA, or operating profit from ordinary activities or EBIT. And this is a 7% increase. The total operating margin rose by more than 40 basis points, reaching 11.9%. So a breakdown by business lines reveals the following trends. Concession, EUR 2.8 billion, up 9%, with an operating margin close to 50%. Energy services revenue, EUR 1 billion, up 8.5% with an operating margin of 7.4%, an improvement of 20 basis points. Both VINCI Energies, so 7.2% operating margin versus 7% in Cobra, 7.9% versus 7.8% improved their contribution and margin rates. VINCI Energies margin improvement was driven by its international operations, mostly in Northern Europe and the Americas. Overall, margin levels remain relatively consistent across divisions. And the same applies to Cobra. VINCI Construction, although revenue declined, margin continued to improve. So 2.2% at June 30, up 10 basis points over last year. I'd like to remind you that the margin at June 30 is not representative of the full year margin. Of course, we expect much better considering the seasonal aspect of our business but it's positive to have a 10 basis point improvement over the half year. Almost all divisions improved and maintained their operating margins compared to last year, which offsets the decline in margins on major construction works. It's also worth noting that the ROPA or EBIT margin for VINCI Construction in the first half is not representative of the full year performance of the pool. So despite the still challenging market environment, as previously mentioned, VINCI Immobilier returned to breakeven. Now the rest of the income statement, we have an IFRS 2 expense, reflecting the benefit granted to employees to facilitate their access to VINCI's share capital. Now this expense has increased because this option has been valued and this benefit has risen due to the share price increase earlier in the year. Also, higher contributions from equity accounted companies are mostly the impact of airports in Japan, which have returned to high traffic levels over to 2019 levels, so pre-COVID levels and also thanks to renewed travel with China and the positive impact of the Osaka World Expo. Also, let's remember the consolidation of the Budapest Airport. So the contribution from the 20% stake in Budapest Airport. Last year, we made a provision for an earn-out payment to ACS related to Cobra's renewable energy developments. It hasn't been true this year. This year, we recorded favorable adjustments from asset disposals, particularly for VINCI Concessions. Regarding our financial income and expenses, our net financial expense increased by EUR 73 million, reaching EUR 627 million. This was mainly due to an unfavorable comparison effect from the inclusion of debt from Edinburgh Airport and also Northwest Parkway, the part of the Denver ring road that we're now fully consolidating. And those 2 acquisitions were made in H1 2024. We also noted increased financial leverage on certain assets such as Aerodom in the Dominican Republic. We need to fund the investment program and also London Gatwick Airport, which we releveraged so as to optimize capital costs. In addition, the positive effect of lower interest rates on the euro, roughly 100 basis point drop year-on-year had a positive impact on the cost of debt for the holding company because part of that debt was in variable rates and this is also true for VINCI Autoroutes. Unfortunately and this makes sense, it was largely offset by a similar decline in returns on our cash investments. Other financial income and expenses include particularly a EUR 42 million charge from the decline in ADP's share price in H1. This is a purely accounting change. And also, the income tax charge has risen sharply, plus EUR 364 million, of which EUR 293 million is due to the surtax introduced by the government for 2025. So plus 41.2% above the standard rate. The decision has been made for 2025. In line with the AMF and CNC recommendation, this amount corresponds to roughly 70% of the full year 2025 estimated tax charge. As you know, this calculation spans 2 years, 2024, 2025 by definition, the 2024 expense is known and we had to absorb it entirely. So for June 30, we are basically absorbing 75% of the total charge, which is about EUR 400 million. I think that this makes VINCI among all private companies in France, one of the top contributors to the national budget. Ultimately, despite this very significant tax surcharge, the decline in our net income remains limited. Constant tax rates because of our share buybacks over the past 2 years, we've been able to limit the impact. Like I said, at constant tax rates, our group net income would have amounted to EUR 2.2 billion. Now if we look at our debt situation, debt variation over the first half, traditionally, we're in negative territory, excluding financial investments, which can vary from 1 year to the next. We have a negative -- we usually have an increase in debt in the first half and also a change in working capital requirement and this is due to cash flow seasonality. Let's bear in mind that EBITDA improved by 8% to over EUR 6 billion. Every division has contributed. Like I said, traditionally, working capital requirement is negative. So EUR 1.8 billion, EUR 1.9 billion this year versus EUR 1.3 billion last year. If we compare this with the past 4 years, the EUR 1.8 billion, EUR 1.9 billion this year is very comparable to the average in shifts observed for the past 3 years. And also, let's put things into perspective considering the size of the group. This represents 7 days of activities in concessions, 7 days in concessions, 15 days of revenue in construction and 3 days in energy services. So nothing to write home about at this stage. Also, I'd like to remind you that there will be a reversal in the situation in the second half, particularly in the last few months of the year when there will be a lot of inflows in many entities. Now there's an increase in financial expenses and income tax paid, excluding the impact of the new tax surcharge, which will be settled at year-end. In terms of investments, they amount to EUR 2.3 billion, EUR 2.4 billion over the half year, including EUR 1.2 billion in energy services, of which new renewable energy projects account for about EUR 450 million. And those developments are due to Cobra. In concessions, investments over the half year came to just under EUR 800 million and in construction, slightly over EUR 500 million. Taking all of these items into effect, free cash flow for the half year is positive at about EUR 50 million -- slightly under EUR 50 million, bearing in mind that almost all of VINCI's free cash flow is typically generated in the second half of the year. On the acquisition front, I'm talking about the activities, or rather the acquisitions finalized over the half year. In total EUR 750 million but there have been disposals of nonstrategic assets amounting to around EUR 200 million, mainly by Cobra IS and VINCI Concessions. So this leads to a net outlay of around EUR 500 million, as you can see on the graph. Last year, the acquisition -- we were pretty particularly active on the acquisition front. We invested EUR 6 billion in particular. Now to conclude this cash flow analysis, cash returned to VINCI shareholders as well as noncontrolling interest, mostly Gatwick Airport. Now this amount to 200 -- or rather EUR 2.4 billion, up EUR 500 million compared to H1 2024, including net share buybacks in the amount of EUR 600 million. This is mostly payment of the 2024 final dividend, which was paid out in April. On this basis, we have pretty much the same amount as we have capital increases under the group's employee savings plans and this results a positive inflow of less than EUR 0.3 billion. As I said before, the cash flow is generated entirely -- almost entirely in the second half of the year. And so considering a very specific profile when it comes to cash flow generation and all of the important inflows at the end of the year, I would, therefore, refrain from making any forecast regarding full year free cash flow. One thing is certain, we will have to pay at least EUR 400 million in additional taxes versus last year. To conclude this presentation of the financial data, when it comes to the group's liquidity, our available cash and cash equivalents have improved -- or rather have increased by EUR 2.5 billion. As of June 30, we had EUR 11 billion in managed net cash, around 40% of which was centralized at the holding company level. And this is a low point because cash flow really usually rises in the second half of the year. Our policy is usually to centralize subsidiary cash as much as possible but it's not always possible due to legal constraints, tax constraints, ownership constraints when we don't hold 100% of the capital, as is the case for Edinburgh, Gatwick or even Mexico. Having abundant liquidity may seem overly cautious to some but we believe it's the price to pay for maintaining independence in terms of how we execute our capital allocation strategy. And that's something Pierre will return to shortly. We need to be able to mobilize large amounts of capital quickly when we need to honor our repayment obligations to lenders, when we need to optimize borrowing conditions as we did in the first half by choosing the best time for new issuances, particularly bond issues and also for seizing acquisition opportunities, which are aligned with the strategy as we did with the Cobra IS acquisition. And also in order to navigate financial crises over the past 20 years, there have been quite a few financial health and geopolitical crises. And also, we need to fulfill the commitments to shareholders in terms of returns. S&P and Moody's continue to place a trust in us with solid ratings, A- and A3, respectively, which we will safeguard through prudent, clear and consistent financial and capital allocation policies. In the first half of 2025, despite of or maybe thanks to a volatile macroeconomic environment because volatility can also lead to opportunities, we have been able to refinance in excellent conditions by being opportunistic. Overall, since the beginning of the year, VINCI and its subsidiaries have raised EUR 3.5 billion in new funding with an average maturity of 5.6 years and an average rate of 3.5% weighted average. In February, and particularly, there was an issue of convertible nondilutive bonds for EUR 400 million with a 5-year maturity. This operation was done alongside [indiscernible] and has been commended by the financial markets for their technical nature. We also have further placements of EUR 150 million in April. Again, in February, a bond issued of EUR 650 million by COFIROUTE for 8 years with a 3.125% coupon. And finally, in June, there was a sustainability-linked bond issue of EUR 750 million with a 10-year maturity issued by London Gatwick with a 3.875% coupon and a commitment to reduce CO2 emissions. That euro amount was then swapped to sterling, of course. These transactions have enabled the group to reduce the average cost of debt, increasing maturities, optimizing maturities and reducing cost of capital.
Pierre Anjolras: Thank you very much, Christian. I'd now like to come back to outlook. One of the highlights for this financial half was the Ambition France Transports conference, which was organized and piloted by the French Transport Minister himself. This conference wrapped up at the beginning of July. Our group was, of course, part of it alongside other companies in the sector, working on funding for mobility infrastructure, especially after the end of the motorway concession contracts as they are. We'd like to commend this initiative and also thank parties for the constructive dialogue across parties. The success of this conference in part comes from looking through the correct lens, the long-term lens. And the major drivers emerged as follows. First of all, a sustainable need for investment to maintain, if not regenerate existing networks as part of a concession or not and adapting this infrastructure to climate change. We also agreed on the absolute need to maintain motorway tolls. There was recognition that the motorway concession system has demonstrated its robustness and its ability to maintain quality of infrastructure under concession over the long term. There was also agreement on attributing new motorway concessions with conditions that remain to be defined. And the principle following which transport infrastructure needs to be aligned with transport infrastructure funding. This is recognized as a particularly good tool, concessions, I mean, to fund maintenance, upkeep and adapting to climate change for infrastructure. After this dialogue, which was constructive and levelheaded, we now have a framework so that the government and civil servants can now go further as the minister said. Minister said that he will be working with parliament and the business sector. We will, of course, when the time comes, be willing to be part of the tender process for new concession contracts. We will be disciplined and levelheaded in our analysis because over the last 20 years, we have been preparing for the program to end of French concession contracts that we hold. In airports, I would like to underline the development potential of the platforms that we operate as a follow-up to our potential to grow externally. Let me give you a couple of examples. In Cambodia, VINCI Airport has finalized an agreement with the owner of the new international airport at Phnom Penh to continue to operate the airport until 2040. We will be providing expertise and experience as we have been over the last 30 years in the kingdom. In Cape Verde, we hold the 40-year concession contract for the airports in the archipelago. This involves investment to modernize, including renewable production on site. Another important update that's being expected by the end of the year is the definitive agreement from the British government for the extension -- expansion sorry, of London Gatwick and the right to use the current taxiway as a runway. If this is approved, then that would trigger a significant investment. The second runway would enable the airport to bring its overall capacity by 2030, up to around 80 million passengers. Finally, one of the major drivers for the coming years, as I already mentioned, we'll be building a second Lisbon Airport, which will be significant for the capital. This will keep us busy for years. and will require significant funding. As you can see, infrastructure is alive and well. It is adapting, it is renewing itself and these changes are all opportunities to create value for VINCI Airport in the platforms where we operate. For development of renewables, we are on our road map. We're following it well. In the first half of 2025, Cobra IS opened up 2 new solar farms in Brazil for an overall capacity of 0.6 gigawatts, bringing up overall operational capacity of the portfolio to 1.2 gigawatts. Furthermore, 2.5 gigawatts are under construction in Spain, in the U.S., in Brazil and in Ecuador. To date, Cobra IS has invested EUR 1.7 billion into this portfolio of renewable energy production. We are disciplined in our development of this portfolio as opportunities arise and as financial conditions allow, especially when it comes to equity IRR. For renewables, as for other business lines, as has always been the case, we prioritize profitability over volume. With that being said, we have no doubt that good opportunities will arise as the energy transition gathers steam and as the need for electrification of networks ramps up around the world. We are expecting to develop around 1.5 gigawatts per annum average over the long term. The order book is also up, thanks to order intake that is still higher than business capacity. I explained that this was kind of like a bathtub. It's up 6% year-on-year. We are now at a very high level, more than EUR 71 billion, near its historic high in the last quarter. This is 14 months of full business, which gives us future visibility and enables us to calmly consider the future in a way that does not deviate from our selective policy. Again, it's about margins, not volumes. The share of that order book for France is 29%, Germany, 19%. As you would have gathered, Germany is the second largest country when it comes to order book volume and the rest of the world, the remaining 52%. This excellent beginning of the year enables us to confirm our financial guidance for 2025 as communicated in February 2025, that you were made aware of and that you have on screen. Overall, for VINCI we are expecting an increase in business improvements in operational profit and improvements in profit, of course, before accounting for the increase in the French tax burden in this year. The Board of Directors under the chairmanship of Xavier Huillard, in light of this has decided to maintain the prepayment for the dividend at EUR 1.05 per share as was the case last year, once again showing his confidence in the group and its outlook. As to capital allocation, the group's policy has remained consistent and I will be consistent in turn in that. For shareholders, this will be based on a dividend with a distribution rate which has remained above 50% of net profit of the group over the last years. And share buybacks, our policy on share buybacks is very simple, we buyback shares to offset the dilutive effect of the employee shareholder plans. As regards to development, we are continuing to invest in long-term infrastructure concession projects in transport for airports and for motorways in France and abroad. We also continue to look at long-term energy production, renewable energy production infrastructure. For shorter-cycle business, the group is continuing to push for Energy Solutions, where VINCI Energy has shown over the last 20 years, the quality of its know-how, its ability to acquire and integrate new companies. And finally, the group is allowing itself leeway to invest opportunistically, especially in construction. To illustrate this, out of the recent major developments in the group and beyond the projects that I already mentioned, there are a couple of things that I'd like to bring to your attention. In Energy Solutions, we have 20 or so companies that will be joining the network, 4 of which are of significant size, 3 in Germany, 1 in Romania for an overall revenue full year effect of EUR 600 million. Myself and Christian have presented the financial performance for VINCI for the last 6 months. This financial performance is a long- term consideration. And therefore, financial performance is to be put up against our environmental and societal performance. So after Xavier Huillard, I have, in turn, decided to take on the manifesto. This is what we call overall performance, all around performance, which is social, environmental and financial. There are a couple of highlights that I'd like to share. For the environment, we, of course, wish to reduce our carbon footprint but also design and implement solutions that enable our customers to reduce their own carbon footprint in turn and we've seen numerous examples of this throughout the presentation this morning. Society to VINCI means sharing success through the employee shareholder plan, which is a great asset for the group. 11% of our shares are held by more than 170,000 employees. Together, they are the largest shareholder in the group. About EUR 8 billion in equity held. We are, therefore, one of the companies that is the most owned by its employees in France, in Europe and abroad. This means that our employees trust us and also is a great source of stability for the group. I wish to restate that these 3 vectors for performance environment, society and finance go hand in hand. They feed each other. They feed our ability to create value in the long term. Thank you very much for your attention, and I would like to make myself available to answer any questions you may have.
Eric A. Lemarie: Eric Lemarie from CIC. I have 3 questions, if I may. The first one is related to VINCI Airports. Ryanair has announced that they will be ramping down their business slightly in France. I wanted to know if there will be any direct or indirect impact on VINCI Airports, especially thinking of [indiscernible], you can get to Edinburgh from [indiscernible]. A second question on whether you're expecting any phasing effects for Cobra IS or for VINCI Construction in the second half of 2025. And my third question on the report that you mentioned the report that was handed to the transport minister. I'd like to know if you have any idea of a time line there. Do you know when French authority may decide on what Concessions may look like for motorways in France? And maybe a fourth question, if I may, still on the topic of infrastructure. The French government has budget constraints and they may be tempted to sell their stake in ADP. Would you be interested in buying out those shares? And to what degree could ADP assets integrate into the group such as their Indian and Turkish assets?
Pierre Anjolras: Okay. On phasing for major projects, this is the kind of business which through its very nature, is less fluid because it's a major project that can slow down sometimes that can speed up at other times. So by its very nature, major projects are less stable, especially if you're looking at months rather than years. So there will be phasing. However, over the long term, the business is overall stable with increases in the pipeline for North shore -- the North Sea offshore platform, sorry, for Cobra IS. As I said, this is a major project business, which applies to VINCI Construction and also to Energy Solutions. They account for about 10% of the overall volume for construction on the one hand and energy services on the next. So it kind of smooths out the impact of these necessarily less even flows from major projects. So they kind of -- it gets buffered by the rest of the business. Before I give the floor to Nicolas, on the impact of Ryanair and the timing for the tenders in France. As far as we know, there's nothing going on for ADP right now. So we couldn't comment something that is purely hypothetical at this point. And honestly, it doesn't seem likely in the short term. For Ryanair and the tenders, Nicolas.
Nicolas Dominique Notebaert: Yes. Good morning, everyone. For Ryanair. Ryanair is a lot of international travel for our airports, Edinburgh, Portugal, Belfast, Budapest. So Ryanair is not reducing its volume. They are reallocating planes and paradoxically for VINCI Airport, we're actually likely to see positive effects. You've seen the growth for Budapest that's being driven by Wizz Air and Ryanair. However, the message that we're repeating here is that recurring and increasing taxes does drive down business. So this is just an illustration of what we've been saying for a while now. I think that the Union of French Airports said this 2 days ago. We are starting to see risk in France of a negative impact on airports. Our exposure to the French market is quite low but there's going to come a point where high taxes will reduce air traffic volumes. As Pierre said, we worked with everyone as part of the France Transport Forum. There was a lot of sharing. And concessions and tolls were recognized as having merit. Now we're waiting to see what happens. You know the first concessions will come to an end late 2031, early 2032. So the state still has a while to decide and then we'll see what that looks like in month or years.
Eric A. Lemarie: Another question, if I may. Can you update us on VINCI Energies external growth pipeline? Are we expecting a still high rhythm of external acquisitions, 34 deals last year, 20 or so since the beginning of the year, I think, this year. What kind of zones and businesses are you looking at? And given current uncertainty and volatility, do you find it hard to close deals? It doesn't appear that you do. And are the multiples still looking stable?
Unidentified Company Representative: You know it's quite difficult to predict external growth in the short term because we don't have any targets. We don't have any annual and especially no monthly targets for acquisitions and business lines. We have a long-term road map that I touched on during our capital allocation strategy slide and we're being opportunistic about it. There may be some pipeline opportunities that we end up not seizing because we're being disciplined in our policy but we do have cash. So there may be opportunities arise that we didn't expect and that we don't end up having the cash either. So we're not going to take stabs at what's coming in the pipeline and what we might buy because we don't know. And if we set ourselves targets, then we'll be forcing our own hand. But Arnaud can maybe give you a bit more detail for VINCI Energy.
Arnaud Grison: As a subscript, I'd like to refer you back to the -- to last year's Investors Day. Deals are one thing, integration is another. So consolidating an existing deal is important. You need to make the time before you move on to the next acquisition. So we try to work as close to the ground as possible, so we can build on our expertise and diversify our businesses. So we do this on an ongoing basis. And best way to predict the future and that's what we did in our CME. And there's no reason why we should do things any differently. Some years we were very busy on the M&A front, other years, we were less active but we've been able to grow throughout. The goal is to preserve our corporate culture and maintain our business discipline.
Eric A. Lemarie: One last question, if I may. Road and airport traffic, can you give us some indication regarding future volumes?
Pierre Anjolras: Nicolas can tell you more about that.
Nicolas Dominique Notebaert: As you may have seen a couple of days ago. Consumer spending is outperforming the economy. So there's a difference for VINCI Autoroutes. A passenger -- there's a difference between passenger vehicles and heavy goods vehicles. People go on holiday as expected but heavy goods vehicles are suffering from economic conditions and that traffic is down. In June, the airport supply is in positive territory, extremely honorable levels. In this summer, household spending, passenger car, total spending is on track, with expectations.
Unidentified Company Representative: If there are no further questions in the audience, let's take online questions. Let's start with questions in French.
Operator: [Operator Instructions] First question, Nicolas Mora, Morgan Stanley.
Nicolas J. Mora: I have a couple of questions for you. Starting with cash flow. It's always difficult to extrapolate from H1 results but do you feel that things are normalizing? I'm talking about payment sites, prepayment sites for VINCI. H1 seems a bit more normal than last year. So that's my first question. Secondly, VINCI Energies, we're seeing organic growth bounce back a little bit in H1, order intake is still pretty sluggish. And yet, are you seeing potential -- a potential for bouncing back in H2 in terms of organic growth following Q1, which was a low point? And last question, regarding M&A. You did answer the question regarding the absence of pipeline. But what about concessions, the absence of pipeline for VINCI Energies but what about the lower M&A possibilities on this front?
Pierre Anjolras: Let's start with the question on cash flow. We have over -- we have thousands and thousands of projects in over 100 countries. So I wouldn't make any forecast regarding shifts in trends. So I don't want to make any comments. What I can tell you is that we're running our business as best we can, both upstream when we're looking at projects, large-scale projects impossible, so we can get the best possible payments as on the basis of actual progress made. We're trying to bring money in as best we can. That's all I can tell you. Second question, Arnaud Grison will take this one.
Arnaud Grison: Now regarding organic growth, it's true that Q2 organic growth was better than in Q1. But if we look at the Q4 2024, that was pretty high. So this is strong comparison base. So we're seeing growth and softer growth but growth means growth. So we're not anticipating any short-term acceleration. We're still anticipating a strong level of business and inflation is slowing down in many countries as, we published this morning in France, 2.3% inflation last year and down to 1% now. So we need to take things with a pinch of salt. So business remains good but no major shift one way or the other. The message you need to take home is that over and beyond the fluctuations you're seeing from one quarter to another and that's something that we ourselves are having a hard time anticipating over the long term, that's what we're seeing -- over the long term, growth in energy solutions, like I said, are being driven by strong trends. The energy transition, electrification, the digital transition and growing sovereignty and defense issues. So those are heavy-duty trends. And this means that over the long term, over and beyond fluctuations from one quarter to another, we're expecting sustainable and sustained growth in all those businesses. And this is reflected in the fact that -- in terms of order intake, for example, a constant order intake and order intake is higher than business, higher than revenue and this feeds into our backlog and this means we have good prospects long term. When it comes to VINCI Concessions M&A pipeline, Nicolas?
Nicolas Dominique Notebaert: As Pierre rightly said earlier, M&A is something we're looking at on a multiyear basis because of the very nature of the projects we're considering. They emanate either from governments or secondary markets. Things are not on an annual basis. And last year, we saw a massive confluence of events. We had Edinburgh, Gatwick and we were able to respond conservatively. And now we're overperforming massively across all of those assets, whether Budapest or Edinburgh, in Denver as well. So in the first half, we're not seeing any kind of capital opening but we're not worried about that. Again, we have a multiyear selective approach. So some years there are lots of deals being made. Other years, fewer opportunities arise. It's not as though we've missed the boat, No. And usually, that all -- we don't have a crystal ball. We can't predict what will happen. Obviously, we keep our eye to the ground. And this is true both for concessions and energy solutions. And as I said before, over and beyond the potential M&A development of a VINCI Airports, VINCI Autoroutes, clearly, there's potential to grow via the transformation of the infrastructure we already operate. We've given a number of examples. And one of the first pictures that I showed is the A57 highway near Toulon. That's one example of transformation -- successful transformation in France.
Operator: We have another question, Sven Edelfelt, ODDO BHF.
Sven Edelfelt: I have a couple of questions regarding M&A and concessions. I think you were considering an acquisition in managed lanes in the U.S. So what's your take on the current pipeline? Are there interesting opportunities out there? And do you think this will materialize in a couple of years? Second question, regarding highways and motorways, a number of reports have come out. They've been published by government agencies on new contracts post 2030, post 2035 depending on the end of certain networks. So we're talking about shorter concession contracts. And there may be caps on return on capital employed, ROCE. So can we legitimately ask whether VINCI may or may not throw its hat in the ring, assuming those contracts aren't sufficiently attractive? And also based on your discussions, current discussions with the government.
Pierre Anjolras: Nicolas, why don't you take both questions?
Nicolas Dominique Notebaert: Regarding managed lines, if we're looking at long-term trends, we want to invest into airport or highway concession contracts and we're looking at relevant markets and managed lanes in the U.S. are a relevant market. There haven't been that many managed lanes in recent years. And now we're seeing a reversal in trend and we're looking at potential contracts. But what's important here is the CapEx volume. We need to know whether the type of works and the nature of the works and also as you know, the U.S. is a federation and it's a continent and there are different states and the legislation is different one state to another. So the nature of the works is different from one state to another. And therefore, the type of works to be done by VINCI Construction teams must be compatible with the type of project. And the way that we work must be compatible with those projects. So VINCI Highways are working actively to prepare for those projects and we're working with the relevant state authorities. So we do believe there will be opportunities that will arise. I'm confident in our ability to very soon be part of a COFIROUTE tender. We did take part in tendering process in Louisiana 2 or 3 years ago. But again, things are different and the nature of the works is different from one state to another. So one managed line per year in the U.S. on average. So I'm hopeful that we will soon be part of the next COFIROUTE tender. Regarding France, I do not believe that the French government is busy arranging the configuration but they do have a doctrine. Now toll systems and maintenance. There are other countries that have made different choices. France has a particular budget situation. And this will give you some idea of what may happen in terms of maintaining or not maintaining toll systems. Now concessions. The modalities will depend on the nature of the work to be carried out. And also we need a consensus. Investments must be made into the concession contracts for networks. And so future concessions will come from work on resilience, climate resilience. And collectively, we have made huge contributions to that consensus. So, if we look at the long-term aspect of those economic circumstances, it all depends on traffic levels and financing terms. So we are competitive as a global player. We will take part in those COFIROUTE tender. We do that across the world but we'll do this on a case-by-case basis. But I don't think that this will be finalized not for another few years and concession contracts may resume at some point. We are competitive globally level when it comes to highway concession contracts but it will depend on traffic levels. The nature of the works to be carried out. At the moment, we are making sure that -- we need to make sure that the government model is sustainable over the long term. But we maintain our selective approach when it comes to selecting projects. We will continue to do that when the time comes.
Operator: We are done with questions in French. Switching now to questions in English. [Operator Instructions] We'll take our first question from Dario Maglione from BNP Paribas.
Dario Maglione: Two questions from me. One on the French political situation. I believe the discussion on the budget for 2026 has started. What is under discussion and what could be the impact on VINCI? Second question on the order intake for Cobra. It was very, very strong in 2024. H1 still growing but we're seeing a slowdown in the growth rate. What are you seeing? What are you expecting here? Are there any constraints that would limit the growth here in the next couple of years?
Pierre Anjolras: Regarding France's political situation, well, you're aware of it as well as we are. France has a clear deficit. We can be -- I'm sure we can be glad that there are proposals being discussed to try to tackle the issue and try to reduce spending. And we're hoping that those ideas will gain ground. It's too early to tell what the impact may be on our businesses. In any case, there will be a drop in business for public works in France, because irrespective of budget decisions, our primary customer is local and regional authorities, particularly municipal authorities. And as you may know, there's going to be municipal elections. This, in March 2026, this happens every 6 years. And traditionally, the first year of this legislature usually sees lower investments. So we're ready for that. And this happens every 6 years. We are aware of it and we'll be ready to weather the storm. There's going to be ups and downs next year, maybe a low point because of the municipal elections but we're prepared for it. We're not worried. Like I said before, we work in areas where there are requirements, there are needs, investment needs, transformation needs and also simply the need to maintain existing infrastructure. And those needs are huge. And this means that we're not worried about the lack of work long term. When it comes to Cobra IS's order intake, there's something we need to bear in mind. In particular, EUR 2.5 billion, that was the order intake for Cobra IS last year for electricity conversion platforms in the North Sea. Christophe, correct me if I'm wrong. This will come to fruition in 2030, 2032. So this means that the 2024 order intake is being inflated. We're not seeing the impact on order intake in 2025, but this -- the impact on actual business will remain for many years because our backlog is full. [indiscernible] in particular and Cobra is clearly ramping up its ability. Last year, it was able to produce one platform at a time and eventually, it will produce 3 platforms at the same time. We're expecting this ramp-up to take place over the next 2 to 3 years. So Cobra's business should not be interpreted simply on the basis of order intakes from the past few years. No, Cobra will continue to grow its business simply because there are needs out there and Cobra is adopting the wherewithal that it needs in order to respond to these needs. But not to the same extent as the differences we saw in terms of order intake between '23 and '24.
Operator: We are now moving to our next questions from Ruairi Cullinane from RBC.
Ruairi Cullinane: First question on VINCI Energies. Your guidance for at least stable margins in the full year does now allow for a decline in H2. So should we expect you to at least sustain margins year-on-year in H2 as well as full year '25? And secondly, should we expect selectivity in construction to have any impact on working capital? And then finally, could you just talk us through the decline in noncontrolling interests on the income statement?
Pierre Anjolras: I'm not sure I fully understood you. Well, I think I understood the question but I don't think I can answer it. Let me see if I can figure it out, says, Christian Labeyrie. So margins at VINCI Energy, Arnaud, that's your ball to catch.
Arnaud Grison: Margins changes. So we have guidance for 2030 and we also have guidance for this year. It's a reasonable and logical increase in margins, nothing new here. Selectivity for construction. Construction in its very nature, generates cash because the contracts enable us to receive prepayments in a lot of cases, which will impact WCR. It depends on the contract, though and it might not apply to every single contract or even every single region. So it's hard to give you a kind of granular understanding of the impact on working capital, especially as you would have understood that an increase in one segment is offsetting the decrease in another. Overall, it's stable. It's just a small contraction of business that we shared with you for the first half. We're not expecting any significant drop in business volumes at all. So I wouldn't draw any big conclusions on working capital requirements from that.
Pierre Anjolras: Okay. So on our balance sheet, we have the minority stakes. That share has gone down, as I understand the question. It's not much though. Last year, EUR 172 million in profit from minority stakes, EUR 156 million this year. And there's basically a whole list, there's a whole range of minority stakes, nothing really an issue though, contributions are down here and there, maybe up elsewhere but no real conclusions to draw from it, I don't think.
Unidentified Company Representative: Okay. We can take a final question or maybe a final series of questions.
Operator: Ami Galla from Citi Group.
Ami Galla: Two questions from me. The first one was on -- coming back on the construction side and the selective bidding approach, can you talk a bit about -- are you seeing more competitive intensity across certain markets? Can you talk about -- can you give us some color as to where are you seeing a lot more tighter competition intensity in that construction space? And the second question was on the Escota business. You've mentioned in the release that you've reached an agreement with the government. Can you give us some color in terms of the quality of the agreement that has come through? And is there a read across of the approach for the rest of the elements of the network that comes for expiry?
Pierre Anjolras: Nicolas, on the agreement with the government.
Nicolas Dominique Notebaert: Yes, very quickly. So as the ministry and ourselves said, we did reach an agreement on the end of concession renewal plan. Basically, it's the state in which the infrastructure will be handed back over. Everyone recognizes that our motorways in France are very well maintained. The Escota contract provides that the maintenance program for the final 5 years -- does state that if the concession holder does not properly maintain the infrastructure, there could be some kind of special notification. And we've agreed with the state on the technical ramifications of that, so that the renewal and maintenance up until February 2032, be done properly. It was done in a very technical way, professional way and we're very happy with that agreement. We're not communicating on the numbers but you can find them online with the amounts that we are spending on Escota for renewal.
Pierre Anjolras: For construction, I don't think we've seen any particular changes in the competitive landscape. We have specific competitors in each segments. You'll find national companies, you'll see European groups, you'll see multinational groups. But also local companies that we're quite used to competing against especially on our flow business segments in which our companies work on a given business in a given place as part of business as usual with a competitive landscape that is made up of small, middle and large companies, sometimes it's small family groups that competition is there. It's still around and I'm not seeing any significant change in that landscape. Patrick [indiscernible] is nodding at me in audience there as well. I understand that there are no further questions. In that case, I would like on my own behalf and on behalf of Christian, to thank you for being with us this morning. I'd like to wish you an excellent month of August, which probably involves holidays for most of you. And you will be welcome in our airports and on our motorways in France, in Europe and around the world for your vacations. Thank you. [Statements in English on this transcript were spoken by an interpreter present on the live call.]